Operator: Good morning, and welcome to the Camping World Holdings Conference Call to discuss Financial Results for the Fourth quarter and the year ended December 31, 2024. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions. Please be advised that this call is being recorded, and the reproduction of the call in whole or in part is not permitted without written authorization from the company. Joining on the call today are Marcus Lemonis, Chairman and Chief Executive Officer; Matthew Wagner, President; Tom Kern, Chief Financial Officer; Lindsey Christen, Chief Administrative and Legal Officer; and Brett Andress, Senior Vice President, Investor Relations. I will turn the call over to Ms. Christen to get us started.
Lindsey Christen: Thank you, and good morning, everyone. A press release covering the company's fourth quarter and year ended December 31, 2024, financial results was issued yesterday afternoon, and a copy of that press release can be found in the Investor Relations section on the website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding business plans and goals, industry and customer trends, inventory expectations, the expected impact of inflation, interest rates and market conditions, acquisition pipelines and plans, capital allocation, and anticipated financial performance. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in the Risk Factors section on our Form 10-Ks, our Form 10-Qs, and other reports on file with the SEC. Any forward-looking statements represent our views only as of today. We undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call, such as EBITDA, adjusted EBITDA, and adjusted earnings per share diluted, which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our earnings release and on our website. All comparisons of our 2024 fourth quarter and fiscal year results are made against the 2023 fourth quarter and fiscal year results unless otherwise noted. I'll now turn the call over to Marcus.
Marcus Lemonis: Thanks, Lindsey. As we entered 2025, we knew it was really important to fortify and strengthen our company. We successfully raised $330 million of growth capital in October, and last week, we amended and extended our RV floor plan facility with an additional five years by adding $300 million of runway. Our floor plan now totals $2.15 billion. As we deploy capital across growing our used inventory in multiple dealership and M&A transactions expected to close by the end of spring, we are reaffirming our guidepost to deliver 10% to 15% unit growth on used, low single-digit growth on new, significant improvement in total gross profit, and a 600 to 700 basis point improvement in SG&A. We ended 2024 with record combined new and used market share, hitting 11.2%. We're seeing combined unit momentum carried into our early 2025 results and expect to set a new record at 12%, selling over 130,000 units, up from 121,500 in 2024. The early 2025 results through today are encouraging, with healthy mid-single-digit growth. Early indications of 2025 continue to show a consumer that is focused on affordability and value pricing, both on the new and used side. It's our belief that the ASP will improve through the course of the selling season as it historically does, and we continue to target an annual ASP of $40,000 on new and $32,000 on used. As a reminder, that's going to fluctuate quarter to quarter with the first and second quarter being driven by family camping, lower-priced units, and then accelerating into Q3. Thank you. As part of fueling that growth, our used procurement process is in full swing, with both January and February setting respective records in each month. We expect the purchase volume to accelerate over the next several months as we enter our core selling season. If the ten-year treasury yield continues to stabilize and reduce, we expect to see additional retail finance rate relief for our customers, allowing them to take on more units while maintaining a monthly payment that fits their budget. It's my expectation that our company will experience explosive EBITDA growth in the first quarter compared to the prior year. That's going to be driven primarily by gross margin and gross profit dollar improvement along with significant SG&A improvements. Look, we have two goals for the year. It's very simple. Sell more RVs and make more money. I'll now turn the call over to Matthew.
Matthew Wagner: Thank you, Marcus. As mentioned, we continue to experience solid momentum in both our new and used businesses, achieving record levels of both new and used market share during the fourth quarter. 2025 has been off to a very encouraging start, with our used same-store sales increasing in the high teens during January and new same-store unit sales up low single digits, both in line with our expectations. We never like to directly cite weather as a factor, but it's no surprise that February weather patterns have been erratic. But once the weather broke, we were very pleased by the pent-up demand we experienced, as this past weekend was one of the best sales weekends in our history, regardless of the month. We anticipate that used same-store unit sales will track positive double digits in February, with new same-store units down modestly. While still early, our positively evolving view on the health of the broader RV industry remains in place, as does our growing pipeline of dealership acquisitions, with multiple LOIs either under contract or in process. Year to date, we've acquired four rooftops, with an additional two rooftops closing today. We intend to close another four to six rooftops by the end of spring. As we enter 2025, we remain focused on judiciously reestablishing our used business, maintaining our dominance as the market maker in the RV industry, all while expanding upon the tremendous progress we've made in Good Sam, Service, and our new and used unit market share metrics. We continue to see a variety of very defined factors within our control next year, largely independent of what takes place across the broader industry or the broader economy. We remain confident in the guidepost we provided last quarter as we march towards a meaningful earnings recovery in 2025. Now turn the call over to Tom.
Tom Kern: Thanks, Matt. Turning to the financials. For the fourth quarter, we recorded revenue of $1.2 billion, an increase of 9%, driven primarily by an 8% increase in new unit sales and an 11% increase in used unit sales. New vehicle gross margin of 15.2% was driven primarily by lower promotional support compared to the prior year period. Used vehicle gross margin continued to sequentially recover to 18.7% in the quarter as we continue to bring fresh used inventory back into the system at a more accelerated but prudent pace. Good Sam capped off a productive 2024 with revenue growth of 1% and nearly $95 million of EBITDA. The business is poised for solid earning growth in 2025 as we lap claims cost increases related to the roadside assistance business. Within product services and other, we continued to show growth. Our core dealer service revenues remain encouraged as product sales return to growth in the quarter despite top-line pressure from the sale of our furniture business during the second quarter. We had an adjusted EBITDA loss of $2.5 million compared to a loss of $8.9 million last year, with the primary driver of the year-over-year improvement coming from accelerated used inventory procurement and new unit market share gains. SG&A for the quarter was in line with our expectations as a percentage of gross profit, excluding higher than expected insurance claim costs in the quarter. We've continued to make adjustments to our cost structure in January as we work toward our full-year target of improving SG&A as a percentage of gross profit by at least 600 basis points. I'm excited to report we ended the quarter with about $288 million of cash, including $80 million of cash in the floor plan offset account, also had about $339 million of used inventory net of flooring, and another $166 million of parts inventory. Finally, we own about $169 million of real estate without an associated mortgage. I'll turn the call back to Marcus for final thoughts.
Marcus Lemonis: Thanks, Tom. Our team's conviction stems from our current outperformance of our growth in market share, the significant white space we see, and our belief that 2025 will be a much better year within our control. I'd like to open up the call for Q&A.
Operator: If you were using a speakerphone, if at any time your question has been addressed, you would like to withdraw your question, our first question comes from Joe Altobello with Raymond James. Please go ahead.
Joe Altobello: Thanks. Hey guys, good morning. First question on new ASPs, Marcus, pretty constructive on that this morning. Is that simply a factor of rate coming down and so a buyer can afford a more expensive unit with the same monthly payment? Or is there some other, you know, maybe mixed dynamic going on there?
Marcus Lemonis: No. I think that, you know, what we've seen in previous years is that the ASPs usually start the year a little lower. We go to the Tampa Super Show and all these shows around the country, and you have people buying, you know, lower-priced units. As we accelerate into the year, particularly the back half of the second quarter and three and four, those ASPs start to rise as that family camper, you know, dissipates into a larger fifth wheel buyer, class B, etcetera. I think the point that I wanted to make on the ten-year treasury is when you look at the fluctuation in the ten-year treasury, there's a direct correlation to the retail buy sheet. Ultimately, the retail sell sheet that our consumers see around the interest rate of their purchase. And as the ten-year treasury stabilizes and hopefully reduces, I think it's down to, like, 4.3% up from down from 4.8% just not too long ago. We tend to see rate reductions from our retail lending community. As those rate reductions come down, in some cases, a quarter to a half to a full point, that allows the customer to go from a $13,000 unit to a $16,000 unit and not see a tremendous difference in payment. As we look towards the balance of the year, we believe that the goal of $3,000 on the new side and $32,000 on the used side will be modestly accelerated by that factor. Got it. Okay. And just to follow-up on SG&A to gross profit, you mentioned this morning again, another 600 or 700 basis points of improvement issue. How much of that is from the growth in profit dollars and thereby volume driven versus some discrete cost savings?
Marcus Lemonis: Yeah. There is a little coming from just the improvement in overall gross profit. That's just a math equation. But truth be told, when we provided the guidepost last year, we knew all of us as a management team knew that we were gonna have to make some difficult decisions towards the top of 2025, to give us the ability to achieve the 600 to 700 basis points. And we were a little quieter about it, obviously, during the holidays because we had to make some very difficult decisions around headcount, but it was always anticipated in our plan. As we go through the year, we are absolutely committed to the 600 to 700 basis points. It's one of the material inputs to us achieving the explosive EBITDA improvement. If at any point in time, the market, the overall general economy doesn't give us what we expect, we are already prepared to recalibrate our SG&A month by month, quarter by quarter to ensure, to be clear, to ensure that we deliver the 600 to 700 basis points that we're committing to on an annualized basis.
Joe Altobello: Perfect. Thank you.
Operator: Our next question comes from Alex Perry with Bank of America Merrill Lynch. Please go ahead.
Alex Perry: Hi. Thanks for taking my questions, and congrats on a strong quarter here. In the press release, Marcus, I think you mentioned, you know, we see green shoots unfolding across the broader RV landscape. I guess, what, you know, what is informing that end specifically, what's been the feedback from show season? You know, have you been up year over year? Any significant variations in terms of the mix of sales during show season versus last year?
Marcus Lemonis: I'm gonna break that down into two distinct sections. I think first is we're excited to see the shipments that the manufacturers have recently reported. And I think it's important to denote that in a lot of cases, Q1 shipments acceleration is really a function of dealers restocking their inventory. We are dissatisfied with where the current stocking levels are at dealers across the country in an effort to grow the industry again. And when we look at retails and shipments, we think that it's really important that the dealers have inventory on the ground to be able to sell. When we look at how we build our inventory, we typically like to be more prepared than most as we head into March 1st. So our inventory position tends to be typically and traditionally a little bit more robust so that we don't miss out on opportunities going into it. It looks as though the industry may be taking on a little bit of that same philosophy. We want to have a little bit of temperance to make sure that what you see shipping in the first quarter doesn't just continue in the second quarter, third quarter, and fourth quarter if the retail volume doesn't track with it. We think there's probably a $15,000 to $20,000 difference in terms of where we want dealers to restock. That includes ourselves. That bodes well for the manufacturers. When we talk about other green shoots, we continue to see good foot traffic in our stores, good lead volume, and we're really looking for quality over quantity. Our conversion from leads is slightly better than last year, and our margins are better. It's also important to note that we use a really interesting tool to determine how excited people are about the industry. And that is the value of used inventory in the marketplace. And we've had to continue to slightly increase the values that we're willing to pay for use because consumers are holding on to their units. We always get nervous when we can buy cheap because that means people are wanting to exit. But we're seeing a little bit of the opposite right now, which is giving us comfort that the RV is excited again. We're seeing people in our stores again. We're seeing leads again. And people are paying for units without thinking they're just gonna buy some distressed asset. The inventory overall in the marketplace also looks cleaner. Yes. Ours is clearly cleaner than it was a year ago. We think the same applies where there's not as much distress inventory going into the year. So if the manufacturers can maintain discipline around what they produce, if dealers can take a little bit more of a hedge on putting inventory on the ground to satisfy the consumer demand that's out there, and if the used values can stay strong, absent some crazy macro environment, we would expect a materially better year at least from a sentiment standpoint for the industry.
Alex Perry: Really helpful. And then I guess just my follow-up question, can you just talk about, you know, the change in your inventory mix sort of year on year on the new side? You know, it sounds like seasonally you expect, you know, more contented units in Q3, Q4. Can you just talk about, you know, any big changes in the, you know, the new inventory that, you know, has led to the significant market share gains? Thanks.
Marcus Lemonis: I think one of the secrets to our system and Matt has been the architect for years, is we don't buy the inventory that we wanna buy. We buy and stock the inventory that the consumer wants to buy. And if the consumer wants to buy a less expensive unit or a used unit, we are totally agnostic. Our goal is to sell 130,000 units this year. We don't care the length, the size, the weight, new or used, the price, we just want a volume of transactions.
Matthew Wagner: Yeah. Just to even elaborate upon that a bit more, Alex, as we've oftentimes displayed that chart that shows personal consumer expenditure and RV monthly payments as a percent of that, where we just have built our entire inventory strategy off target at certain price points more specifically monthly payment price points, to ensure that we're capturing whatever a consumer can afford within each segment. So when we think about our exclusive brand line of the contract manufacturing that we've been so disciplined and focused on over the past, goodness, decade plus now, we fine-tune that to such a point where all of those assets that we showed at our Tampa investor event are amongst the best performing assets that we have in our entire portfolio around right now. And that's inclusive of the class B that we have, the class C, travel trailers, the fifth wheel, where that just serves as our proof point that we're hitting the right price point to ensure that we're inducing these customers to be able to come back into this lifestyle or enter into the lifestyle for the very first time. It's important for everybody to understand that we are very focused on ASK but the only reason that ASP matters to us is because of the gross profit dollars that are generated from that. But not having the right unit on the ground, and not selling the transaction that the consumer wants results in no dollars. And so we wanna find the balance between being very creative about finding ways to move up ASP but we do not wanna alienate or lose transactions to other competitors or quite frankly not have the consumer pull the trigger. When you look at how we're building our new in the early part of the year and our used in the early part of the year, it's very much of a science on where are the leads coming from, how are we restocking, where are we converting, where are we not converting? Where do we need to lean in, and where do we need to lean out? Let's not, you know, forget that the general macro economy hasn't really changed in the last four, five months. And some could argue that it's a little has a little more friction inside of it. So when we wake up every single day and we're looking at the dashboard, board of all of those different metrics, we are modifying the inventory on order and modifying the units that we purchase on a daily basis to be real-time responsive to what the consumer is telling us. I think a lot of times companies write a playbook for the year, and they're unwilling to change because they're so, you know, dedicated to what they wrote on a piece of paper. Our company functions a little differently. And we also think that there's the possibility that there's gonna be some new pricing adjustment. I'm sure Matt will address that a little later. Or now. I mean, we've had a lot of conversations with many back and, of course, we keep a very close deed on exactly what the anticipated changes will be in invoice pricing. In the near future and over the next year. And we have reason to believe based upon this different imposing tariffs that could ultimately impact some of the new invoice pricing. The manufacturers will probably be looking at raising prices on new model year changeover, which should be about June 1st. If not, perhaps even raising prices in anticipation of that. Just because someone's gonna ultimately have to endure whatever these tariff price increases could be. Is some chatter out there that maybe it's about 3%, which we're frankly okay with that. And we're okay with that in so much as that's a healthy modification in this industry. And it enables us to further pivot into the used marketplace. Where as long as those values between new and used continue to spread, we have a greater sense of cost that we can continue to procure more and more and perhaps even more aggressively we have knowing that there's gonna be even greater delta between current value or new pricing and used units out in the marketplace.
Marcus Lemonis: Yeah. One advantage that we ultimately get out of that as well is because of the way we bring inventory into our channel and have years. I don't wanna use the word front load our inventory, but we try to stock our shelves pretty solidly as we head into March. And I think other people may take a different approach. So the inventory that we have on the ground today is devoid of some of those potential tariffs. Used inventory that we have on the ground is only going to get, I think, in our opinion, if the tariffs do happen, is only gonna become more important to our business.
Alex Perry: Perfect. That's incredibly helpful. Best of luck going forward.
Marcus Lemonis: Thank you. Thanks.
Operator: Our next question comes from Craig Kennison with Baird. Please go ahead.
Craig Kennison: Well, hey. Good morning. Really appreciate the guidance commentary and overall efficiency of this call. It's been super helpful already. Maybe just if you look at 2024, Camping World had tremendous market share gains on the new side. You talked about some of the drivers for that. I'm just wondering, you know, to what extent your guidance anticipates further market share gains in new.
Marcus Lemonis: It's our expectation that we end positive for the year regardless of how much traction we get on the use side. And it's always a balance to drive the new and the used at the exact same time because, a, you have a limited amount of capital and floor plan. And a limited amount of customers. And so that's what we're really trying to do is maximize the yield on whatever inventory we're investing in and maximize the margin ultimately getting us back to a kind of earnings potential that we all demand and expect from ourselves. Also, at the same time, don't wanna give up market share. But we wanna be very intelligent about the kind of units we bring in. We wanna be smart about making sure that we're defending against what the competitors are doing. But not at the expense of our P&L. And not at the expense of our margins. And a good chunk of our new gains last year were a result of us pulling back too far unused. We've said it since we went public, and Matt and I are in lockstep on this, that we are agnostic to what type of unit that we sell. What we know is that we did 11.2% in overall combined market share last year. And we expect to sell no less than 8,500 to 9,000 more units in 2025 with an internal goal and a lot of compensation based on it of getting to 12% market share, which would be a new record for us. We have an ultimate goal in the next four, five years to get to 15%. And every single percentage point means that we have to incrementally sell 10,000 more units. That's our core focus right now. Sell more units and make more money.
Craig Kennison: Great. And then, you know, over the last several years, you've made a lot of investments in your used platform. But then last year, you made a tactical decision to avoid a lot of depreciation and slow down in that market. Maybe just remind us of, you know, the platform that you have built and why you think it's a strategic advantage.
Matthew Wagner: Simply put, it's really the best way that we could enable customers to get real-time values of the assets they own today through the Good Sam RV Valuator. And that's a platform that we've developed over a decade plus worth of work and, gosh, two decades worth of information off of all the assets that have flowed through our entire environment of just predicting there should be a residual value curves. And over the last five years, we've gotten a lot better at tracking what's going on around us. And even more specifically over the last two years, we've been very good about understanding.
Marcus Lemonis: Can tell you, Craig, every a little bit of moderation. You called out weather. I guess as we think about the go forward, would you expect that to look more like January, more like February. Sounds like based on your guidance, somewhere in between. But maybe walk us through the thinking there.
Matthew Wagner: Yeah. When we look, you know, we look at month over month over month. Obviously, we know that March will be up our, you know, one of our biggest months in several years. To be honest. We think we could set some records there over the last several years. February I don't want anybody to get concerned about February because we're not concerned about it. In some cases, though, some of those sales move into the backlog of March. So when we go into March, we have a couple thousand units that are already scheduled to deliver. So one of the things that weather does is it moves around where the delivery can happen. Yeah. There were some days. Actually, there were probably eight of them in February, where we had more than 10% of our store base closed at various times. Those things aren't great. We never wanna anchor on those things, but when you miss out on some of the transactions, you start to build up pent-up demand. Matt had mentioned earlier what our last weekend was. In between Thursday, Friday, Saturday, Sunday. It was game masters for us. And while the weather wasn't great everywhere, it wasn't zero or three degrees with snow in Pensacola, Florida. So we did suffer through that a little bit. What was exciting for us is we were high-fiving each other on Monday morning, that the playbook that we're executing for 2025 looks very, very sound, and then we know we're gonna make it. And those couple hundred units will make them up. I think what's showing up in March already is giving us fuel to know that we'll have a very solid quarter.
Craig Kennison: Got it. Really helpful. And then Marcus, you talked a little bit about rates and how the ten years has been coming down, you know, somewhat unpredictable. But maybe if we sort of cut through some of the noise here, today versus a year ago, where are sort of the average rates for your consumers? And I guess more importantly, heading into the selling season, what type of a tailwind should we expect from a rate perspective?
Marcus Lemonis: The overall retail rates, which ultimately we care about more than anything because that's what the tenure is based on, is about 50 to 100 basis points lower than it was a year ago. It also depends on who that lender is. And in some cases, certain lenders that are looking to grab market share have been a little bit more aggressive than that. One of the nuances of our company compared to maybe others is that we have a consolidated retail lender portfolio of banks. And we try to really give them more disproportionate business as opposed to spreading it everywhere. To be able to enjoy a different structure on term or a different structure on rate or no payments for 90 days. You know, we know that that's really important to us. But I would say, generally speaking, it's about 100 basis points better than one year ago today.
Craig Kennison: Got it. Much appreciated.
Operator: Our next question comes from Noah Zetskin with KeyBanc Capital Markets. Please go ahead.
Noah Zetskin: Hi. Thanks for taking my questions. I guess first, new gross margin came in a bit better than we expected. So just as we look out through 2025, could you remind us how you're thinking about kind of full-year new gross margins and used gross margins?
Marcus Lemonis: Yeah. No. We didn't say quite clearly on there is that in 2023 and Q4, we had received quite a bit of support from manufacturers. Which is where if you look at a year-over-year comp, it was down year over year. But, yes, 2024 Q4 did come in a little bit higher than some that were anticipating a little bit lower. Or we did receive some additional manufacturer support. However, far less year over year. Like, literally 30% of what it was a year ago. Almost half actually. Even less than half. So when we think of how much better we performed, I feel pretty good about where we ended up. However, if you're at a forecast out for 2025 what those gross margin profiles should be, we're still focusing on that 13.5% to 14% gross margin range in the news side and we really haven't deviated from that. For the entirety of the year. Then on the used side, we're still expecting to end the year with an average of north of 19. Looking for velocity right now and to eliminate aging and to continue to be a market maker. But I would suspect that you're gonna see nice sequential margin improvement on the use side as we go through the balance of the year. The first quarter is always a little softer just because it's a little slower outside, and then it accelerates from there.
Noah Zetskin: Got it. Very helpful. And then maybe just one more. Given, I guess, the acquisitions you're expecting to close by, could you just kind of remind us how you're thinking about, like, the full year from a kind of net dealership ad perspective? Thanks.
Marcus Lemonis: Yeah. Today, we're sitting and I think we report we're gonna report in our filing, Tom, is at 203 as of this morning.
Tom Kern: Yes. Yes. 203 in the filing?
Marcus Lemonis: 203. 204. 204. Yeah. And so we're closing on, we closed on one last week too. I would expect us to, you know, to add six to seven at a minimum. We are very much focused on the capital allocation. You know, with taking the capital raise back in the fall, we made a commitment to the investors that we were gonna be exponentially more rigorous in looking at growth opportunities until we were able to prove out the thesis of 2025. We need to see continued same-store sales improvement, continued SG&A reductions, don't wanna do anything that's gonna add to that to add any risk to those results. As we look at the guidepost that we provided around new, used, margins, SG&A, it's resulted in whatever the market is telling us they're expecting us to earn for 2025. Our internal focus is aligned with that, and we're not gonna do anything to compromise that outcome.
Noah Zetskin: Very helpful. Thank you.
Operator: Your next question comes from Tristan Thomas Martin with BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Hello. Good morning. What are you assuming for kind of 2025 industry retail demand?
Matthew Wagner: Wanna take that, bud?
Marcus Lemonis: Yeah. We've maintained for the last few months that we anticipate retail demand being relatively flat year over year within a pretty tight band. Which would be somewhat anomalous based upon, gosh, history and the industry. So we'd end up probably being in that 350,000-ish number on retail sales. We'd anticipate that wholesale will have to be right around there if not even slightly higher, and so much as if we wanna support 350,000 retail sales, the industry will probably have to throw off about 355,000 to 360,000 wholesale shipments because of the scarce supply of rolling stock inventory that exists amongst all the dealerships right now.
Matthew Wagner: Yeah. To reaffirm that, we think there does have to be a gap between the amount of shipments and the amount of retails. Just because restocking does need to happen. I think whether that ends up being 345,000 or 350,000 on the retail side, there's gonna still have to be, I think, a 10,000 to 15,000 difference between those two just to put things back on the shelf. If we get a little tailwind, that number could pop up to 355,000. And if we get a little bit more inflation noise, other dealers may struggle a little bit more because they don't have the capital that we have to go out and buy used to mitigate any of those issues. So we're again, we're really focused on our 130,000 the makeup and mix of that. We're agnostic to. But we think that 345,000 to 355,000 could be that retail range with wholesale being higher than that.
Tristan Thomas-Martin: Okay. And then just a question about the model year 26's. Are the OEMs still kinda hyper fixated on those affordable units? Are we beginning to maybe mix shifts a little bit higher?
Matthew Wagner: I missed a word in there. Sorry. On what kind of unit? Well, I'm just saying, are we starting to see the OEMs maybe add a little more content. Make shift a little bit higher ASP wise with the model 26 focus compared to the model year 25. I haven't heard that there's going to be additional contenting of these assets rather just for the same like-for-like asset that, potentially, the pricing could be as much as 3%, maybe even 5% higher compared to model year 2025, but obviously, it's still relatively early and we have until June for the total many manufacturers to switch over to model year 2026. The motorized manufacturers, however, could start switching over the next two months or so, if not sooner. In which case, those prices have largely remained static, devoid of any sort of forward chassis price increases. Which I've not heard of any sort of recent developments there. I would argue that they probably would be hedging adding any content in light of the fact that a tariff could potentially cost them some COGS. Would be surprised if anybody was thinking about adding anything more to it. And furthermore, maybe even looking ways to value engineer their unit more to try to absorb some of that increase. I don't know if that they'll be able to, but I don't think of adding stuff. Which is one of the reasons why our retail business continues to do a little better. Our retail business continues to do well when manufacturers decontent and then we want to accessorize and put different things inside of the unit. If you go back and you look at the history of Camping World, it did the best when manufacturers didn't add every single thing to the unit. So when we see manufacturers either have tariff issues or content issues or pricing issues, Camping World retail ends up being a little bit of a benefactor in that regard.
Tristan Thomas-Martin: Got it.
Operator: Our next question comes from Scott Stember with ROTH MKM. Please go ahead.
Scott Stember: Good morning, and thanks for taking my questions.
Marcus Lemonis: Yes, sir.
Scott Stember: Marcus, can you just clarify when you said that you expect explosive EBITDA growth in the first quarter.
Marcus Lemonis: I'm not sure I understand this question. Do you want me to define that for you?
Scott Stember: Yeah. Just give us a sense of what we should be looking at. And also.
Marcus Lemonis: So we don't provide guidance. Don't provide guidance, and explosive is a very intentional word. Last year, we, I think, only put $8 million on the table. And I'm expecting no less than 3x three to four x on that number.
Scott Stember: Okay. Gotcha. Got it. And then just looking at the 600 to 700 basis points of SG&A leverage, is there anything you can provide us just some guideposts for EBITDA for the full year.
Marcus Lemonis: You're looking for us to give you a forecast for EBITDA? We don't provide guidance, but I will reaffirm that based on the guidepost that we provided around new growth, used growth, margin expectation, and SG&A expectation. If you take those things of low single digit on new, 10% to 15% on used, margins at 13.5% to 14% on new, margins at 18.5% to 19%, call it 19% on used, and SG&A getting 600 to 700 points better, we feel really good that that calculus gets us to where the street is. So we are reaffirming that what we're seeing out there in our compost are consistent.
Scott Stember: That's exactly what I was looking for. Thanks so much. And then just the last question on parts and services. Looks like definitely benefiting from the, I guess, the Upwork and just reset work on trade-ins. Should we maybe talk about the pure customer pay work, what you're seeing there? It sounds like it was running at least modest positive?
Marcus Lemonis: The customer pay work, you know, it was not as good as we needed it to be in 2024. And we don't really get a good measurement stick until we get into March and April. Because we have a pretty good contact place in the stores that are north on the northern part of the country, and people have them storage, and they have them in the wrapper. But we are expecting a better year because we're expecting consumers to use their RVs more frequently this year. That's an expectation that we have, and we obviously wanna drive that. But nothing on the early days that to provide any color that would be helpful.
Scott Stember: Got it. All I have. Thank you.
Marcus Lemonis: Sure.
Operator: Our next question comes from Brett Jordan with Jefferies. Please go ahead.
Patrick Buckley: Hey. Good morning, guys. This is Patrick Buckley on for Brett. Thanks for taking our questions.
Marcus Lemonis: Yes, sir.
Patrick Buckley: As we look at the 2025 industry outlook, I guess, do I think come down to drive a significant recovery? Still a lot of uncertainty around rate cuts this year. So I guess what do you guys see as the optimal macro backdrop for either the industry or maybe more?
Marcus Lemonis: I think there's two factors that ultimately drive the number north of 350,000. You know, we haven't seen 400,000 in several years, and the price of the units themselves and the interest rates in combination with the principal units create that perfect storm. We know that affordability is the most important thing for people today. And we know that discretionary dollars are not just flying around, you know, all over the place. And so we'll need to see some stabilization on the price side, which we believe we have seen, and we'll need to see that ten-year treasury can, I would call it, normalize, stabilize, and reduce, which would allow retail rates to come down as well. Most people think that there's a direct correlation between the Fed rate and the interest rates that our consumers see. Just as a reminder, our consumers' interest rates in the finance office around that will be helpful. are derivative of the ten-year treasury. So getting some stabilization I think we would need far more of a reduction to get back over 400,000. Far more. It could be as much as a whole another point. We like that there's this awkwardness around all of that because it allows us to capitalize a little bit more on the youth side. Strapped a little bit more, we would not. Over the course of our business, in the twenty something years we've been doing this, the multiple really comes down to a dealer needing to get out. Outliers where we pay a super premium based. Done. You know, what market it's in, what brands they carry, what the facility looks like, what their cash flow looks like, for the most part, the multiples are the same. I wanna reiterate one thing though. When we went out and raised capital, we made a commitment to not just have the cash leave. If you to learn, how to take a distressed asset like the ones we're buying from Lazyday's and eradicate the unnecessary costs, put the used inventory on the ground, install our S&I process, put a real service and parts process in place, and return cash to our shareholders. Just as a reminder, we paid really essentially less than book value for that. So we have a high degree of expectation that we're gonna see explosive returns on investment in those transactions.
Patrick Buckley: Great. Thanks. And you referenced OEMs looking to pass on, you know, some modest like-for-like price increases, looking to value engineer their products, maybe not add content given the impact of tariffs. Can you clarify if by that you meant the already announced tariffs on steel and aluminum and maybe separate to steel and aluminum tariffs? I'm curious about the impact you expect the RV industry could see from potential 25% tariffs on all products imported from Mexico and Canada as soon as March 1st here potentially. You know, most RVs to the US market are, I think, assembled in Indiana or elsewhere in the US. So don't expect, you know, nearly the same impact as to the light vehicle industry. But maybe you have a sense for the degree of parts that are installed on US-built RVs that come from Mexico or Canada or what the impact could be on new RV prices present a headwind of demand. And, relatedly, what impact there could be on used RV prices that maybe would even benefit your margin. What do you think?
Matthew Wagner: Well, the yeah. The good news is that Lippert, which is the primary frame manufacturer, sources most of their steel and aluminum here in the US. But on the parts and pieces side, I mean, just as it's somewhat nebulous for you, it's gonna be similarly hazy for us in so much as we don't know exactly when they're incurring those price increases. In a lot of ways, sourcing these products to help futures market, and to some extent they're locking these prices from different sources overseas. To what extent would a supplier actually incur those tariff price increases today versus six months from now? Who knows? In terms of them passing along to the OEMs. If I'm a supplier, I would take advantage of that opportunity and perhaps raise prices even in anticipation of impending price increases. But from the OEM's perspective, they know that they need to protect their margin to the best of their ability. And if you look through different OEMs, different gross margin profile, obviously, they've been under somewhat pressure over the last couple of years. And if there's any sort of imposing price increase of any kind, they will have to raise prices.
Marcus Lemonis: Yeah. Let me also make one final comment on this topic. Most people assume that we're all operating on a level playing field. And that tariffs would apply to everybody consistently. Our company does not operate on a level playing field. We do not buy RVs for the same price as everybody else. We have more cash than everybody else, and it is not a fair fight. So if tariffs continue to be a problem, they're a problem for everybody. We tend to enjoy a different level of pricing than everybody else. And will always maintain a competitive advantage over everybody else based on the volume that we do, based on the contract manufacturing that we do, based on our ability to buy used more than anybody else, and so that kind of rigor at environment only works in our advantage because we can stand out in a crowd even more.
Matthew Wagner: The greatest yield truly being that used marketplace in particular. Where that would represent more stabilization within the used environment and enable us to go out and more aggressively procure your used because the spread between new and used is gonna be that much more substantial.
Patrick Buckley: Very helpful. Thank you.
Operator: There's a follow-up question from James Hardiman with Citi. Please go ahead.
James Hardiman: Hey. Good morning. Just Matt, a point of clarification. I think you talked about higher insurance claims affecting that SG&A number in the fourth quarter. Any way you could quantify that? And then as we think about that 600 to 700 basis point improvement in 2025, does that assume that those numbers normalize?
Matthew Wagner: Yep. We James, we quantified that in the release. It was about $6 million of a hit in the quarter year over year. And, yeah, that is something that we would expect to normalize.
Marcus Lemonis: And then on the six to seven hundred basis points, you know, while it's never a pleasant thing to say, it is really a reduction in force in different parts of our companies that had been instituted starting in January. We will continue to execute on that plan. If we see anything that's taking us off or away from our achievement of that six to seven hundred. Marketing efficiency, labor, and the balance of our business and just tightening things down. We are going to achieve that six to seven hundred basis points. Come hell or high water.
James Hardiman: Got it. And then speaking of hell or high water markets, I don't wanna put words in your mouth, but it seems like you're a lot more confident in sort of the used RV opportunity in 2025. That's more of a PDO story, self-help story, versus the new. Maybe talk about that. Is that an accurate characterization or, you know, how should we think about that?
Marcus Lemonis: We spent the last twelve months getting ready for January of 2025. I started to ramp up procurement in November at the December a little lighter and then really cranked it in January and February. You know, we bought more RVs in the month of January and the month of February than we had ever bought in those respective months. And we expect that to continue. I think the reason that we feel so solid about it is that we know that we missed a lot of revenue and a lot of gross profit in 2024, and we don't apologize for making good decisions with our shareholders. But now that we have more of our shareholders' money, we have an obligation to deliver outsized returns and outsized increases in our EBITDA. And the reason that we are so laser-focused is we know that that is our path. Primarily, the SG&A and the used performance is our path to getting back to our leverage where it needs to be, and our earnings at a at least an acceptable level to us. It was unacceptable last year.
James Hardiman: It's for this.
Marcus Lemonis: Yes, sir. K. I think that's our last question. So thank you very much for joining. We continue to be enthused about our business and look forward to delivering our quarter one results in May. Take care.
Operator: This concludes the conference. Thank you for attending today's presentation. You may now disconnect.